Operator: Welcome to the Brookfield Infrastructure Partners 2014 third quarter results conference call and webcast. (Operator Instructions) At this time, I'd like to turn the conference over to Tracey Wise, Senior Vice President, Investor Relations. Please go ahead, Ms. Wise.
Tracey Wise: Thank you, operator, and good morning. Thank you all for joining us for Brookfield Infrastructure Partners' third quarter 2014 earnings conference call. On the call today, we have Bahir Manios, our CFO; and Sam Pollock, our CEO. Following their remarks, we look forward to taking your questions and comments. At this time, I would like to remind you that in responding to questions and in talking about growth initiatives and our financial and operating performance, we may make forward-looking statements. These statements are subject to known and unknown risks and future results may differ materially. For further information on known risk factors, I would encourage you to review our Annual Report on Form 20-F which is available on our website. With that, I would now like to turn the call over to Bahir Manios. Bahir?
Bahir Manios: Thank you, Tracey, and good morning, everyone. Our results for the quarter were solid. We reported total FFO of $178 million or $0.85 per units, translating to a 63% payout ratio, which sits comfortably at the lower end of our long-term target range. Our results increased by 6% on a per unit basis compared to the third quarter of 2013, as organic growth and the incremental earnings and capital that we deployed over the past 12 months more than offset the impact of asset sales. On a comparable or same-store basis, our business continues to perform very well, recording same-store growth of 12% on a year-to-date basis, which exceeds our annual long-term goal of 6 to 9%. This was driven by organic investments we've made over the last 12 months in our utilities business, inflation indexation across the various parts of our business, in addition to higher volumes in our transport operations. These positive impacts more than offset the lower contribution from our energy operations. We were able to achieve the strong same-store results against the backdrop of a U.S. dollar that has appreciated on average by up to 10% compared to other countries where we invest. The U.S. dollar began to gain positive momentum in the second quarter of 2013, but fortunately our results have been protected by foreign currency contracts entered into during prior periods that hedged approximately 70% of our cash flows that were generated in foreign currencies. Our FFO hedging program is designed to opportunistically lock-in currency rates over a period of 12 to 24 months. Overtime, these hedge rates will trend downwards, should there be no rebound in exchanges rates, as more favorable contracts roll-off and are replaced by contracts entered into at lower rates. In the near-term, while we expect to see a drop-off in our hedge rate profile compared to previous periods. We're pleased to report that our average lock-in rate for the currencies, where we have exposure, exceeds current trading levels by a healthy margin. I'll now discuss our results for our three operating segments. First, our Utilities business generated FFO of $93 million in the period compared to $97 million in the third quarter of 2013. Results were slightly lower, reflecting the impact of the sale of our Australasian regulated distribution operations in the fourth quarter of 2013. However, on a comparable same-store basis results were exceptional, with growth of nearly 17% compared to the prior quarter. We benefited from higher connection activity in our U.K. regulated distribution business, the commissioning of projects at both our Australian terminal and electricity transmission businesses, in addition to margin improvement programs that have been implemented across our operations. Next is our Transport business, where we generated FFO of $102 million in the third quarter of 2014 compared to $82 million in the prior-year period. This 24% increase in FFO was driven largely by the greater contribution from our Brazilian toll roads, where we doubled our ownership in September 2013, partial contribution from our new Brazilian rail business that closed during the period in mid-August, and higher overall volumes both at our Australian railroad operations and our South American toll road business. And lastly, our Energy business generated FFO of $10 million in the third quarter of 2014 compared to $14 million in the prior period. Results were lower, as our North American gas transmission business continues to be impacted by lower spreads and more tempered weather conditions. These results were partially offset by a higher contribution from our district energy business, where we have brought a total of four systems online in a number of U.S. cities over the past 12 months. And finally, before turning the call over to Sam, I wanted to give an update on our various financing initiatives. This was a very active quarter for us, where we completed nearly $1 billion of financings at a number of our operations at very attractive terms. Most significant of these financings included a 10-year $200 million equivalent, non-amortizing bank financing done at our regulated distribution business in Columbia, which we did at an all-in cost of 7.9%. We also completed two financings at our Brazilian toll road business that totaled BRL700 million, and we completed a $250 million private placement in our U.S. district energy business that had an average maturity profile of over 10 years and was done at an average coupon of 3.9%. The proceeds from these financings will be used to fund various organic capital expansion projects and to refinance acquisition that put in place at a number of our businesses. So with that, I'll turn the call over to Sam.
Samuel Pollock: Thanks, Bahir, and good morning, everyone. In September, we held an Investor Day in New York where we highlighted that we have been increasingly focused on investing in Europe, and that we are optimistic about our ability to deploy capital on value basis in that region. Many of you on the call have likely read recent reports in the press that we are very close to announcing an acquisition of a large French communications infrastructure business. Our policy is that we cannot comment on transactions until they are fully documented, irrespective of how advanced they may be. As a result, I won't be able to take any questions on that situation at this time. On Investor Day we also highlighted that we have established a strong track record of internally generated growth, and I thought I'd talk a little bit more about that. We believe that our organic growth engine access the main driver of cash flow growth in our business. Our business today benefits from inflation-linked revenues, a backlog of significant expansion opportunities that provide attractive risk adjusted returns and revenue streams that provide linkage to GDP growth. We've been increasingly focused on investing in businesses that have strong organic growth. A good example is our $350 million investment in VLI, which we closed during the third quarter. VLI is a large scale Brazilian rail operation that provides logistic services primarily to agriculture and industrial customers. We expect the business to deploy over BRL6 billion on 100% basis to upgrade and expand operations over the next seven years, allowing it to capture volume growth from increased activity in the country. The growth CapEx program has a number of components. First, the expansion of a terminal in Santos, which will provide agriculture customers with an integrated, rail and port solution for the export of their products. There is significantly increasing demand for the import of fertilizers and for the export of grain and sugars. A critical part of this expansion is the integration of a highly modernized and efficient rail link at the port, which will enable the facility to handle over five times more volume from 2.5 million tons per annum to over 15.4 million tons per annum. Second is, the development of inland terminals directly connected to the rail network to consolidate the number of loading points to a single depot. This will reduce loading times and the number of idle wagons. And finally, we are adding and replacing new rolling stock to handle additional volumes as well as materially improving the age profile of the fleet. The new locomotives provide higher fuel efficiency and have lower maintenance costs, and should significantly improve the operational reliability and physical availability of VLI's integrated logistics system. Now, while VLI is just one example, it demonstrates our strategy to pursue investment opportunities with significant organic growth pipelines. We believe investments in organic growth generate the best risk-adjusted returns, and therefore we will continue to seek acquisitions of businesses with similar growth potential. In additional to closing VLI during the quarter, in our energy business, we closed on the acquisition of a system in Chicago, and in next few weeks we will close on the acquisition of one in Seattle. With these acquisitions we are adding three systems that will provide environmentally-efficient heating and cooling to large buildings in Seattle, Chicago and Las Vegas. We now own six district energy systems in North America, and have grown our overall heating and cooling capabilities by approximately 50% over the past year. Our acquisition of a California gas storage project is progressing, and we expect this transaction to close by the end of the first quarter of 2015, following completion of customary closing conditions. I'm going to conclude my remarks with an outlook for our business. Looking ahead to 2015, Brookfield Infrastructure is positioned to generate sustainable growing cash flows, given our secure income streams and the solid pipeline of growth projects that are currently committed in our project backlog. We remain confident in our ability to deliver annual same-store growth of 6% to 9%, consistent with our long-term stated target. Our primary focus for the balance of the year is to execute on advanced transactions in our pipeline, continue to integrate our Brazilian rail business into our operating platform and execute on our organic capital project backlog bringing them to completion on time, scope and budget. The contributions from our Brazilian rail operation, new investments once completed, and with the embedded growth we expect to achieve from our existing business, will meaningfully add to our cash flows in 2015. With that, I'd like to turn the call back to the operator and open the line for questions.
Operator: (Operator Instructions) The first question today is from Cherilyn Radbourne with TD Securities.
Cherilyn Radbourne - TD Securities: Just wanted to ask you a couple of questions on VLI, since that's an interesting recent transaction for you. You did highlight that it generates revenue largely from agriculture and industrial customers. And with agriculture just being so politically sensitive around the world, I wonder if you could just describe the regulatory context in which that business generates revenue?
Samuel Pollock: The business largely operates similar to our rail business in Australia. It obviously has regulated tariffs, where the government establishes a ceiling price, and we in fact price our product below the ceiling price. And in fact, try to shadow price, the trucking charges, that would be the alternative source of transportation for our customers, including the agricultural customers. Today, I'd say, we probably haven't fully closed the gap between what we can charge and what the trucking charges currently are. So we see that as an opportunity to increase EBITDA in the business. But probably the bigger value driver is the fact that there is just a huge growth in the agricultural sector in Brazil and obviously even more competitive, given currency rates at the moment. And we are debottlenecking our network, improving efficiency and adding capacity, so that we can deal with the growth in the sector, but also allow a large amount of volumes that currently go by road and clog up the roads now to go on our system, which would be more efficient, safer and more cost effective for that sector.
Cherilyn Radbourne - TD Securities: And can you just give us some sort of picture of the average age of the power fleet and the rolling stock and just what kind of quantum is possible as you modernize that?
Samuel Pollock: Quantum in what respect Cherilyn?
Cherilyn Radbourne - TD Securities: I'm just trying to get a sense of how old it is, and so how much improvement you could potentially see as you modernize it?
Samuel Pollock: I think the efficiency that we think we can improve by is around 20%. I'd say that the fleet is relatively old, so I think there is a fair amount of investment that will go into modernizing it. But I think the target today is around 20%. And to give you a sense of the business, it's a relatively large business, generates over BRL3 billion of revenues and over $1 billion of EBITDA. And we think that we can grow that meaningfully.
Operator: The next question is from Bert Powell with BMO Capital Markets.
Bert Powell - BMO Capital Markets: And just staying on VLI, that backlog number has been out there for a while and now that you're kind of closed on the transaction, when you look at that backlog, do you see a better way to deploy that relative to what that be or were the initial plans for that capital?
Bahir Manios: I'd say, it's still early days. We've only owned our interest in the business for barely two months. And we do have a CapEx subcommittee that is evaluating the timing of a lot of these deployments. Today, there is a one project in particular, the one I described in Santos on the call, that is fully underway and the one that we're most focused on. And that represent significant portion of that CapEx, probably the BRL2 billion worth. So that one definitely we are moving forward on. As for the rest of them, I think some of them have to be timed, based off of the demand we see from our customers as well.
Bert Powell - BMO Capital Markets: And then, the other question I had just related to NGPL, Kinder is gone to open season on some expansion in the Chicago market. Just wondering how that impacts Brookfield Infrastructure?
Samuel Pollock: Well, we have our interest in NGPL, which they're part of. And we have been looking to see what sort of interest there is regarding our reversal project, which would be part of the NGPL system. We're still in the process of determining the level of interest. It has ebbs and flows and obviously there is lots of activity around gas coming from the Marcellus into the Chicago region and ultimately probably finding a home down in the Gulf Coast. So we're actively monitoring that, working with Kinder Morgan on developing some high-value projects for the system. So that's really all I can at this stage is we are very involved in working with them and are very hopeful that we can attract shippers to project that are on our system.
Bert Powell - BMO Capital Markets: What would that mean, just I don't know if you can quantify it, kind of bigger than a breadbox, smaller than a house, kind of thing, in terms of the capital that you'd have to put towards that for your interests?
Samuel Pollock: Look, I guess the short answer is it would probably not be overly material for us, just given our percentage ownership of the business. But nonetheless, it is the types of developments that while the initial volumes may not be material over time, we do expect there to be significant takeaway capacity from LNG terminals in that region. And the amount of projects that would be needed to meet that demand could become more material over time. But I think anything in the near-term would not be overly material to Brookfield Infrastructure.
Operator: The next question is from Robert Kwan with RBC Capital Markets.
Robert Kwan - RBC Capital Markets: Sam, maybe if I can actually then just start to follow-up on your answer on NGPL; you talked about a reversal. I didn't know if you were talking about an actual physical reversal of flow. And the reason I'm asking is we've seen an adjacent system to yours at least start with a small capital project that was facilitating bidirectional flow. And that resulted in a very significant increase, about a 50% increase in their EBITDA. So I'm just wondering whether that might be a first step for NGPL or if you think there's something structural that may not allow you to benefit, either to that degree or that quickly on your system.
Samuel Pollock: Look, it's difficult for me to say too much just because we have partners and we haven't agreed on disclosure around various projects. But what I would say is we are examining a number of initiatives that are similar, but they just don't -- I guess, what I can tell you is they just don't have that sort of impact on our business where they're increasing EBITDAs by 50%. Nothing is of that magnitude. And a lot of that is just due to the size of the overall NGPL system, and the fact that a lot of the stuff related to LNG terminals is for the latter half of this decade, it's not early on. Most of the projects today that are being done are to assist Cheniere, that's really the only one that's advanced. And so the capital is meaningful from an NGPL perspective, it's just not massive from a Brookfield Infrastructure perspective.
Robert Kwan - RBC Capital Markets: I guess just kind of on the macro environment, whether it's FX or just the global uncertainty with the economy. On one hand some of the biggest wins you've had have been stepping in when others or competitors couldn't. On the flip side, you had a more cautious approach, particularly on Europe, when there were concerns with the euro breaking. So just with the U.S. dollar strength and the global uncertainty, are you seeing the current environment more as an opportunity, or are there select regions that you're just taking a more cautious approach at this point with respect to deploying capital via M&A?
Samuel Pollock: Yes. We're pretty active in most regions where we have teams on the ground. South America is a market where we're seeing lots of interesting opportunities. And I would say its more capital constrained than it has been for a number of years, and that's probably something that I've been saying for the last year or so, I guess. In Europe, we are seeing some good opportunities and hopefully we'll be able to announce a number of things in the near-term. I'd say, the two more competitive markets, but we're still executing on a number of interesting platform expansions, would be North America and Australia. I'd say both of those markets today, where we're being mostly successful is where we have platforms that we can attack on various businesses, whether it'd be our gas storage business or our district energy business in North America. And similarly we've been successful in the number of smaller tuck-ins in our energy business in Australia as well. And so I'd say that in those regions where capital seems to be more plentiful and more aggressive, that's been our approach. But nonetheless we are still looking at some large transactions in those regions. And to the extent that we can acquire businesses that meet our return thresholds, we will definitely execute on them. So I'd say we're not shying away from any region at all at this stage, where we have people on the ground.
Operator: The next question is from Paul Tan with Credit Suisse.
Paul Tan - Credit Suisse: Just a question on the district energy business. How do you see that business -- how big do you see that business to be, with a dip in. say, 5 years time? And second part to that one is that, do you see that business to be an easier rollup story due to the fragmented nature of the business, as well as maybe it's generally off the radar for most people?
Samuel Pollock: Let me deal with the second part of your question first, and I'll come back to making a few guesstimates about how successful it'll be. But one of the reasons why we are excited about the opportunity is the fact, as you pointed out it's a very fragmented business and one that is not easily executable by number of our, in particular, low-cost competitors, such as the pension plans. This is a business where you do need to rollup a number of smaller systems, have patience to go out and tie-in new customers on an organic basis and frankly, the pension plans who do have a lower returns threshold generally than we do don't have the resources to do that. They tend to like larger transactions, where they can deploy capital on a meaningful basis in one shot. And so we think that we have a unique situation here, where we can go ahead and approach the opportunity on a customer-by-customer basis by visiting and reaching out to all the large municipalities and hospitals and educational institutions that have systems and see if we can build businesses around any place where we scale and potential growth and that's really what we're trying to accomplish. And we think we can do that at returns that meet our thresholds, but then with a business that we think has got very attractive investment attributes and very low risk. As far as how quickly we can accomplish that is little difficult to pinpoint at this stage. We do have a very large pipeline of opportunities. I think we've in the past two years built a business that on a 100% basis would have an EV over $1 billion of which Brookfield Infrastructure is roughly 40% of that plus or minus. And our hope now is that given that we put a lot of resources to it and then have built a team focused solely on this initiative, that over the next five years we could hopefully triple the size. So take that on an EV basis maybe up to a $3 billion, and if we're even more successful, even a bit higher. And Brookfield Infrastructure would be roughly 40% of that size.
Operator: There are no more questions at this time. Should I hand it back over to Mr. Pollock for closing comments?
Samuel Pollock: Thank you, Joe, and thank you for everyone on the call for participating today. We look forward to speaking to you again in February for our yearend call. Have a nice day. Bye.
Operator: This concludes today's conference call. You may disconnect your lines. Thank you for participating. And have a pleasant day.